Operator: Good morning, everyone, and thank you for waiting. Welcome to Banco do Brasil Second Quarter 2018 Earnings Conference Call. This event is being recorded and all participants will be in a listen-only mode during the company’s presentation. After this there will be a question-and-answer session [Operator Instructions] This conference call is also being broadcasted live via webcast and through Banco do Brasil website at www.bb.com.br/ir, where the presentation is also available. The replay of the conference call will be available through the phone number +55 (11) 2188-0400 until August 17, 2018, in English and Portuguese. To access the replay, please ask the operator to listen to BB's conference call, identification will be required. Participants may view the slides in any order they wish. Before proceeding, let me mention that this presentation may include reference and statements, planned synergies, estimates, projections and forward-looking strategies concerning Banco do Brasil, its associated and affiliated companies and subsidiaries. These expectations are highly dependent on market conditions and on the performance of domestic and international markets, the Brazilian economy and banking system. Banco do Brasil is not responsible for updating any estimate in this presentation. With us today, we have Mr. Bernardo Rothe, CFO; and Mr. Daniel Maria, Head of Investor Relations. Mr. Daniel Maria, you may now begin.
Daniel Maria: Good morning everyone. Welcome to the earnings release teleconference for the second quarter 2018. Let’s start the presentation on Page 4 with some earnings highlights. The adjusted net income the second quarter 2018 reached R$3.2 billion. There was a change of 7.1% in relation to the first quarter 2018 and 22.3% in relation to the last year – to the same period last year. In the first half 2018, the adjusted net income reached R$6.3 billion. This is an increase of 21.4% in relation to the first quarter first half in 2017. The fee income grew 5.5% in relation to the first half of 2017 reaching R$13.3 billion. The NII increased quarter-on-quarter 5.3% and reached 24.6% in the first half 2018. That implies a decrease of 8.1% in relation to the first quarter 2017. The administrative expenses reached R$15.8 billion in the first half 2018. This is an increase of 1.2% in relation to the same period last year and its growth below inflation. We highlight that we revised the credit provision expenses guidance due to the outstanding improvements in the credit quality in the period, the new guidance -- the revised guidance for the period is R$16 billion to R$14 billion. Moving to the next page, we bring market ratios. The adjusted earnings per share is R$1.16 in the second quarter of 2018 that means the dividend yield of 3.65%. The price/earnings ratio reached 6.74% in the second quarter of 2018 and the price-book value ratio was 0.78%. On the next page we will bring the net income and profitability in two perspectives looking at the second quarter of 2018 and first half of 2018. It’s important to highlight that the fee income covered 83.2% of the administrative expenses. This is the highest level since 2014. We bring our also here the return on equity according -- meeting the market to establish. The ROE reached 13.3%. On the next page, Page 7, we bring the earnings breakdown. NII increased 5.3% comparing quarter-on-quarter. It’s interesting to highlight the movement of the treasury or the contribution of treasury for NII and also how the loan operations grew in the periods. The NII for the first half reached R$36.8 billion, this implies a reduction of 8.1% when compared to the same period last year. The fee income grew 5.5% in the first half 2018 when compared to the same period last year. This growth was driven by the checking accounts that grew 7.2% and the asset management that grew 13.2% in the same period. The administrative expense grew 1.2%, reaching BRL 15.8 billion in the first half 2018. This growth with the low inflation shows a solid cost control, and the cost-to-income ratio reached 38.9%. The Credit Card provision expenses decreased 29% in the first half 2018 when compared to the first half 2017. We want to highlight the improvement of the asset quality of the portfolio, and mainly the contribution of the Company's portfolio to that commitment. On the next page, we bring the loan portfolio on an expanded growth. The loan portfolio increased 1.5% when compared quarter-on-quarter. The NPL ratio above 90 days decreased 31 basis points, reaching 3.34%. This number includes the specific case and we want to inform that this case has already been sold in July. And considering these case forward the NPL ratio is 2.92% using the data for June. The NPL formation is below the previous quarters and reached 0.55%. The coverage ratio increased to 166.80. Cost of risk decreased for the third quarter number, which is 3.57%. On the next page, we bring the loans to individuals that improved 2.2% quarter-on-quarter. We would like to highlight the diversification efforts in business volume, frankly to the credit card portfolio, salary loan and consumer finance showed some growth in the period. The NPL ratio above 90 days decreased 16 basis points reaching 3.33%. The NPL formation is below the previous quarters, reaching 0.8%. The coverage ratio increased reaching 175.75. The credit provision and expenses was BRL 1.8 billion in the period for this portfolio. On Page 10, we bring the loans to companies on an expanded view. The portfolio is almost flat compared to the previous quarter. We highlight that the middle market, corporate and government portfolio increased in a way that compensated the reduction in the very small and small companies’ portfolio. The NPL ratio above 90 days for this portfolio decreased to 5.2%, the fourth increase in a row. The NPL formation for the period is below the average of the last quarters, reaching 0.54%. The coverage ratio increased 151.46%. The credit provision expense decreased to BRL 2 billion, bringing the lower volume since 2014. On Slide 11, we bring the agribusiness portfolio. Agribusiness portfolio grew 2.1% quarter-on-quarter. The NPL ratio above 90 days decreased 24 basis points, reaching 1.61%. The NPL formation is below the previous quarters, reaching 0.3%. The coverage ratio increased reaching 284.93%. The credit provision expenses was BRL 1.2 billion. For the harvest 2018, 2019 made available BRL 103 billion to finance. This implies an increase of 21% when comparing to the disbursement for the previous harvest. On Page 12, we bring you the net interest margin. NIM increased 14 basis points in relation to the previous quarter, reaching 3.98%. NOIs means continuing the recovery. The increase was 25 basis points attaining 4.48%. On the next slide we bring the spread by portfolio. The spread for the credit portfolio is stable when compared to the previous quarter. And the spread for individual portfolio is 16.45%, agribusiness is 4.7% and company portfolio is 4.62%. Our next slide will be the BIS ratio. In June 2019, we reached 9.61% of CET1. This number includes the effect from the resolution CMN 46 for this year. We reinforced our target to reach the minimum amount of CET1 of 11% in January 2020. On the Slide 15, we bring the changes in the CET1 comparing June numbers to March 2018. We highlight here that the increasing capital is mainly due to the mark-to-market of the security portfolio. The number of 9.61 includes the decision of Resolution CMN 4,680 that allows the bank to add back to the capital with tax credits generated with losses in the hedged of investments outside Brazil. On the next page we bring the guidance and the follow-up. The adjusted net income of BRL6.3 billion analyzes is in accordance with the guidance. The NII is minus 8.1% below the guidance but much better compared to last quarter. We see that the NII is heading towards the guidance. The organic and domestic loan portfolio increased 1% mainly due to the behavior of the company's portfolio that included 7%. Individuals and personal loans, and agribusiness loans is growing according to our forecast. The provision expenses net of new progress of write-offs is BRL 7.8 million. And we show here the newly revised guidance of BRL 16 million to BRL 14 million for the year. Fee income increased 5.5% below inflation in accordance to our guidance. Administrative expenses grew 1.2% in accordance with our guidance and below inflation. With that we end our presentation and we can go to the Q&A Session. Thank you.
Operator: Ladies and gentlemen we will now being the question-and-answer session. [Operator Instructions] Our first question comes from .
Carlos Macedo : Hi good morning gentlemen. Thanks for taking questions. First question, if you could answer, I’m trying to get an understanding about margins. You said you expect the NII growth to migrate to where – to your guidance by the end of the end of the year. We're looking at originations, and of course, the originations are much stronger particularly on the consumer portfolio. They're up, I think, 38% year-on-year. A little bit weaker in the second quarter on your corporate portfolio but still on the consumer portfolio really strong. And if you look in your release, you can see that the rates from these originations are lower than they've been in the past. Your credit spreads or your yield on loans on the consumer side remains very strong, matter of facing that in. Should we expect any pressure on those yields as a result of the facing in of the new that are presently spread [ph] – should we expect any pressure as a result of the lower spreads that are on new loans? Second, could you please just comment a bit on your SMEs book both in terms of asset quality and in the levels of origination given that we have that only rolled in to the whole corporate book? Thank you.
Bernardo Rothe: Good morning Macedo. Thanks for your questions. I’m sorry for the noise in the background. Anyway going through [indiscernible] we're seeing the interest rates going down, that’s true. But we are not going down with the same pace to liquidate in the cost of funding is going down. In fact the [indiscernible] cost in Brazil in the second quarter, we’ve got to see high interest rates in the long-term duration cycle transactions, where you replace it. And when we do that we do based on the duration of the new loan and [indiscernible]. So in fact we have some clear interest rates given the change in the unit cost in Brazil in the second quarter. So margin in a good pace we are keeping it at a good level, you can see that spreads pre-paid us in the consumer book, how we calculate that spread, right, just to remind everyone. We look at the spread at a time that we contracted new, and we kept that stable throughout the life of the transaction. So although the interest rates are coming down, the spreads that we are making in the level – at a very good level so we see compression margin coming – potentially next year, we are supposed to have more compression of spreads due to competition. But the competition is not very strong there. Only the lines of credit, we always have got a strong competition like stable loan. So margins should behave okay from now on? And we see some compression of margins next year if competition, that’s a good cap. You know a better economic recovery in the country. In terms of the SME book, this has been growing at certain point, the level of business we do for our clients in the SME book. And remind you that what is the needs is not that they need there is small and small company up to BRL25 million in annual income, so revenues. So we have been growing working capital transactions. We're not also growing investments in these portfolios of clients. We still have a big portfolio of investments in these group of clients. Although the reduce in participation of the time, it's still a big portion of it as we are not growing this portion of the portfolio that carries the variability to trade with returns. We should see the portfolio in the year but working capital should stabilize and stop growing as we've reduced the pace of the cleanup of the portfolio, taking out the old transactions that we have in the book and replacing with new vintages that are coming at a very good quality and very good book adjusted return. So we may see growth in this portfolio next year that most have to came up at the end of the year anyway. Again we are going to grow through working capital, not through investments so even though we are growing at a very good pace in working capital, that we should keep the compression on the overall portfolio, okay?
Carlos Macedo : Alright. Thank you.
Operator: Our next question comes from Thiago Batista from Itau BBA.
Thiago Batista: Hi guys. Good morning everyone. I have one question about NPL formation or the new NPL. This quarter, this new NPL was really very low. There is any – kind of event that impacted NPL formation? Or we can believe that the NPL formation will stay around this neighborhood that the bank posted in this quarter?
Bernardo Rothe: You know the NPL formation. Thank you for the question, Thiago. NPL formation should improve over time gradually. We may have some variations between one quarter to the other but the trend is to have NPL formation improving quarter-after-quarter gradually. We may see some seasonality in the first quarter of every year, so we tend to have higher NPL formation in the first quarter every year. But second quarter then comes back to normal. And then from thereon, we should see the formation improving and then increasing a little bit again first quarter next year, given certain seasonality that we have in our portfolio with consumer book and agribusiness. We may have a big impact in the third quarter with the NPL formation for companies coming from the final resolution of the one specific case, that's a pretty big one. So for company, you may see even, that can be even negative. But that's the one-off. The trend is to keep improving NPL formation gradually over time, with some variation given some quarters.
Thiago Batista: Okay. Thank you, Bernardo.
Operator: Our next question comes from Jason Mollin from Scotiabank.
Jason Mollin: Hi, my question is on your distribution strategy. We did see your branches continue, well, I guess year-on-year they are down 6.8% very stable traditional branches quarter-on-quarter. But we saw you continue to add, on the digital and specialized service, points of sale, if you could talk a little bit about this strategy? What that means for headcount? And if we could even see more improvement in the use of these channels and costs? Thanks.
Bernardo Rothe: Thank you, Jason for the question. In fact, we're still deploying our digital strategy. So we still have things to be done. That, of course, we are not going to see a big reduction in traditional branches moving forward, like the change comparing June 2018 to June 2017, was almost 7% drop in the number of branches. Over time, that reduction should reduce because we've been doing too much what we have to do, but specialized services should keep growing for a while, as we deploy this strategy. And we don't need to replace employees, so the natural attrition should reduce the number of employees moving forward as well. So we are not – we don't have any plans to do a big shift like what we did at the end of 2016, right? So that should be normal business from now on. But the trend is the reduction of additional branches and increasing specialized services over time, with the natural reduction of employees coming from retirement and so on. Okay?
Jason Mollin: That's great. And we're seeing – we've seen that your expense, your admin expense line is growing, at least in the first half, grew in line, almost the lowest end of your guidance. So is there a possibility? I mean, is this the trend? Obviously, you didn't change the guidance, but is there any opportunity to beat that and reduce the expense growth below the 1% to 4%?
Bernardo Rothe: No, in fact, for this year, we should be close to the mid of the guidance, high – a little bit higher than the mid of the guidance. Given that we have negotiations going on right now with the unions, then we should have some increase in salary happening from September on. So that would put some pressure in expenses. Personnel expenses still would be the biggest portion of our expenses. And I don't know – we don't know yet how much is going to be increase. I can tell you that units are asking for inflation plus 5%, we are offering inflation that fits. So we don't have the final figure yet. Should be closer to what we are proposing than what they are asking for. But that put some pressure on the expenses in the second half, among other things. So we should be over the mid of the guidance. Okay?
Jason Mollin: Okay. Thank you very much.
Operator: [Operator Instructions] Our next question comes from [indiscernible] from Citibank.
Unidentified Analyst: Hi, everyone. Thank you for taking the question. If we look at the average fee per clients, we see that Banco do Brasil is actually lagging with its private peers. We understand that this should be related to your divestments and some divisions that you need to generate strong feeds such as [indiscernible]. Do you believe that Banco do Brasil can close the gap to its private peers? Are there any initiatives in place for such? Thank you.
Bernardo Rothe: Thank you, Gabriel, for your questions. We want to increase revenues made by clients, but the increase of consumption by our clients, right? So we want our clients to consume our products and services of Banco do Brasil. With that, we are going to increase the fees made by clients. So the start of our strategy. In fact, as we specialize our service, we're increasing our ability to serve clients on an active basis, meaning that with more relationship managers, we have more people having points of contact with clients, and that can generate more business. And that's what we've been doing through technology, the different strategy and so on. So that's something that should keep going through the next year, at least. So yes, we want to increase that – improve that indicator. But, of course, we have some gaps here to cover because we don't consider part of the business that we do insurance and fees that comes in the x income. So part of what we have, we've got NPL in our case, comes has x income, not a fee. So that, in the end, creates – potentially, we are not going to be in the same level as our peers, that doesn't mean that we are not making the same level of income by client as our peers, it's just that we report that in different parts of the balance sheet, right? So part of the fees, part of the x income, but still having a good profitability with our clients, although the indicators are not going to show that directly because of the way we report the relationship with the joint ventures and the subsidiaries that we have, okay?
Unidentified Analyst: All right, that’s very clear. Thank you.
Operator: [Operator Instructions] This concludes today's question-and-answer session. I would like to invite Mr. Daniel Maria to proceed with his closing statements. Please go ahead, sir.
Daniel Maria: We appreciate your attendance to the conference call and the questions, and we are available for further questions and clarifications. Have a nice day. Bye.
Operator: That does conclude Banco do Brasil conference call for today. As a reminder, the material used in this conference call is available on Banco do Brasil Investor Relations website. Thank you very much for your participation, and have a nice day. You may now disconnect.